Operator: Good morning, ladies and gentlemen. And thank you for joining the Intercept Pharmaceuticals Fourth Quarter and Full Year 2018 Financial Results Conference Call. All participants are now in listen-only mode. Following opening remarks, Intercept's management will open the lines for a question-and-answer period. Please be advised that this call is being recorded at the Company's request and a webcast of this call will be archived on the Company's website for approximately two weeks. I would now like to introduce Dr. Mark Vignola, Intercept's Executive Director of Corporate Development and Investor Relations. Please go ahead.
Mark Vignola: Thank you, operator. Good morning, and thank you for joining us on today's call. This morning, we issued a press release announcing our fourth quarter and full year 2018 financial results, which is available on our website at www.interceptpharma.com. Before we begin our discussion, I'd like to note that during our call and question-and-answer session today, we will be making certain forward-looking statements, including statements regarding the progress, timing and results of our clinical trials, including our clinical trials for the treatment of nonalcoholic steatohepatitis or NASH, the safety and efficacy of our approved product Ocaliva, obeticholic acid or OCA for primary biliary cholangitis or PBC, and our product development candidates including OCA for NASH the timing and acceptance of our potential regulatory filings and potential approval of OCA for NASH, or any other indication in addition to PBC. The timing and potential commercial success of OCA and any other product candidates we may develop and our strategy, future operations, future financial position, future revenue, projected cost, financial guidance, prospect plans, objectives and management and expected market growth. Listeners are cautioned not to place undue reliance on these forward-looking statements which speak only as of the date of this call and we undertake no obligation to update any forward-looking statements, except as required by law. These forward looking statements are based on estimates and assumptions by our management that although believes to be reasonable, are inherently uncertain and subject to a number of risks and uncertainties. Some but not necessarily all the factors that could cause our actual results to differ materially from our historical results are those anticipated or predicted by our forward-looking statements are discussed in this morning's press release and in our periodic filings with the U.S. Securities and Exchange Commission including our annual report on Form 10-K for the year ended December 31, 2017. In addition, please note that OCA is an investigational product that has not been approved by any regulatory authority for any indication other than PBC. No conclusions can be drawn concerning the safety or efficacy of OCA for any other indication at this time. Today's call will begin with remarks from our CEO, Dr. Mark Pruzanski followed by those from our Chief Operating Officer; Jerry Durso, and our Chief Financial Officer; Sandip Kapadia. We’ll then open the call to take your questions. Let me now turn the call over to our CEO, Dr. Mark Pruzanski.
Dr. Mark Pruzanski: Thanks, Mark, and good morning everyone. Thank you all for joining us today on our fourth quarter and full year 2018 conference call. Before we recap 2018, I'd like to briefly start off with a reminder of the exciting news we reported last week, the positive topline readout of our Phase 3 REGENERATE study in patients with liver fibrosis due to NASH. We generated the largest and most comprehensive clinical trial ever conducted in NASH, and the first and only Phase 3 study to show positive results in this population. We designed REGENERATE in close consultation with FDA to first read out in an 18-month analysis on two primary histologic endpoints with the requirement to meet either one for study success and support regulatory approval. We were of course thrilled to report last week that a once daily dose of OCA 25 milligrams met the primary endpoint of at least one stage improvement of liver fibrosis with no worsening of NASH, with 23.1% of patients receiving OCA achieving this endpoint compared to 11.9% of placebo patients on an intent-to-treat basis, highly statistically significant with a P value of 0.0002. This result unequivocally supports OCA’s efficacy as an anti-fibrotic agent in patients with advanced NASH, a critically important milestone in the field that sets us apart from any other investigational NASH therapy. Further underscoring this, the observed treatment response to OCA 25 milligrams in approximately twice as many patients as placebo was supported by a number of additional pre-specified analyses that will be presented at EASL and other similar forums. Fibrosis improvement is the most clinically relevant histologic endpoint, given the fact that fibrosis alone has been shown in multiple studies to predict liver-related adverse outcomes, and all-cause mortality. Since we’ve released the data, we've received enthusiastic feedback from external opinion leading NASH experts who share the view on how meaningful our results are. Recapping, tolerability and safety, based on OCA’s profile in the close to 2,000 patients and the REGENERATE safety cohort, adverse events were generally mild to moderate in severity, and the most common were consistent with the known profile of OCA. This is gratifying to see in the study population approximately seven-fold larger than FLINT, providing us with the largest safety database existing for any investigational NASH drug. Following the top line results recorded last week, we’ve continued to generate outputs from the trial and these have reinforced our confidence in OCA safety profile. We're really looking forward to presenting more detailed study results at the upcoming EASL meeting in April and to publication in a major medical journal. Meanwhile, we're also moving expeditiously in preparing our U.S. and European regulatory filings, which we intend to submit in the second half of this year. Given OCA's breakthrough therapy designation in NASH fibrosis, we're confident in our prospects for expedited FDA review. As we contemplate all the work that remains to be done, it's important to remember that the success of REGENERATE represents a watershed moment for NASH patients who currently have no available therapeutic options and suffer from a disease that's become the leading cause -- a leading cause of liver failure and the reason behind the very concerning rapidly increasing incidence of hepatocellular carcinoma worldwide. We couldn't be more excited to be on the path to bring the first ever antifibrotic treatment to patients with NASH with the potential to become the established backbone therapy in this indication. Stepping back, I'm thrilled by everything that we accomplished in 2018, which proved to be a critical year of operational execution for us globally. That success continues to energize us as we look to the year ahead. Over the course of 2018, we made significant progress on our primary business objectives, of course, delivering on our NASH clinical development program and growing our PBC franchise. On the NASH side, in addition to our work to deliver topline results in REGENERATE, we also announced the REVERSE trial in compensated cirrhotic patients. This trial continues to enroll well, and we are targeting the completion of enrollment by the end of the year. We also completed additional safety, pharmacokinetic, and pharmacodynamics studies in NASH fibrosis and cirrhosis, which will provide further support for our regulatory filing. Turning to the PBC business. Earlier this morning, we announced that our 2018 net sales were in line with our previously announced guidance for Ocaliva with $177.8 million in worldwide net revenue. Following the label update in February 2018, we expanded our sales force efforts in the U.S. and continued to drive market access across our approved markets internationally. These efforts have successfully driven growth. And today, we're pleased to announce 2019 Ocaliva net sales guidance of between $225 million and $240 million. In the fourth quarter, we strengthened our pipeline by acquiring the U.S. development and commercialization rights to bezafibrate, a pan-PPAR agonist. We intend to soon initiate a study of bezafibrate in combination with Ocaliva in PBC with other liver diseases to follow. In summary, coming off our solid commercial performance with Ocaliva and PBC in 2018, our expectations for Ocaliva's further growth this year, and of course, the landmark positive top line REGENERATE results. I couldn't be more excited about Intercept's future as we embark on our next chapter. With that, I'll turn it over to Jerry Durso, our Chief Operating Officer, for a global commercial update.
Jerry Durso: Thanks a lot, Mark, and good morning, everyone. Let me just start by saying that we're pleased with our commercial performance over the past year. We had a strong quarter four with worldwide net sales growth of 42% over the same period last year and worldwide net sales growth of 38% for the full year 2018 versus prior. In the U.S., our growth was driven by the considerable changes we made in our sales model last year, which increased our PBC coverage by about 60% with the specific intent on covering more community-based gastroenterologists. This resulted in uptake and first time prescribers and more new enrollments from our expanded list of target physicians. We're also encouraged by the recent publication of clinical guidance documents from the leading hepatology and gastroenterology medical societies AASLD and ACG, both of which solidified the position of Ocaliva as the only approved second line therapy for the treatment of PBC. Internationally, we've continued to secure national pricing and reimbursement, and we see good uptake for Ocaliva in our key markets as a result of our launch efforts. So, we're pleased with the international sales growth that we're achieving. Looking at 2019, we have good confidence in our global PBC opportunity and the sales growth that we expect to see this year. So, turning now to NASH. Clearly, we're very enthusiastic about the topline data from REGENERATE and we're very active with our launch planning and our execution. While there are millions of patients with NASH, we continue to believe the greatest unmet need is those patients with advanced fibrosis due to NASH as they are at greatest risk of developing severe liver-related complications. As part of our ongoing plan, we've conducted a significant amount of qualitative and quantitative market research with over 1,000, hepatologists and gastroenterologists as well as speaking to endocrinologist, primary care physicians and payers. This substantial body of market research confirms that most physicians think of NASH through a fibrosis lens, from diagnosis, staging, and desire treatment outcomes. One of the critical priorities for physicians is halting the progression of liver fibrosis in NASH patients, as fibrosis has been clearly linked to predicting more severe outcomes and mortality in these patients. Payers are also focused on fibrosis as a critical surrogate endpoint in NASH as they see preventing severe liver outcomes as the greatest unmet need and the largest potential impact on health care costs. Given that we're extremely encouraged by the meaningful effect of OCA on fibrosis that we saw on REGENERATE, which has been reinforced by the positive feedback that we received from key experts on the top line data. Overall, the REGENERATE data support our belief that OCA has the potential to be a successful treatment for NASH that will meet the needs of both patients and their physicians. Now, with REGENERATE in hand, we continue to be full steam ahead, refining our market view in the context of our Phase 3 data and executing our launch plan preparations for OCA in NASH. Our quantitative market research data to-date tells us that the majority of physicians currently -- majority of patients currently diagnosed with advanced fibrosis due to NASH similar to those that we saw in the REGENERATE population are under the care of hepatologists and gastroenterologists, and that the majority of these patients were diagnosed and found their way to specialist care without receiving a liver biopsy. Many of the hepatologists and GI specialists that we see today will serve as our core customer base in NASH, following approval. We've called on these physicians since 2016, and we've built significant insights and credibility that we're leveraging as we prepare for the launch and commercialization of OCA in NASH. Now, as we move forward, we’ll continue to expand our medical, marketing and payer teams and accelerate our ramp-up, consistent with our plan. We've also built options for how we’ll scale in the field to cover the larger NASH customer base. Of course, disease state education is an important component of our medical efforts across the U.S. and in Europe, and our medical colleagues are trained and ready to reactively address questions on REGENERATE based on the top line data and consistent with local regulation and requirements. It’s clearly an exciting time following the successful REGENERATE readout and we look forward to sharing additional insights with you as our launch plans progress. With that, I'll turn the call over to Sandip for a financial update. Sandip?
Sandip Kapadia: Thank you, Jerry, and good morning, everyone. Please refer to our press release issued earlier today for a detailed summary of our financial results for the fourth quarter and full-year ended December 31, 2018. The fourth quarter of 2018 was a successful quarter in our PBC business as we began to see the impact in the U.S. of our sales force expansion coverage as well as achieved strong growth in our international markets. We closed the full year with Ocaliva net sales within the previously announced 2018 sales guidance. With respect to operating expenses, we continued our disciplined approach with a focus on driving the key organizational priorities of advancing our NASH program and supporting our PBC launch. We’ve broadened our pipeline with the acquisition of a license for the development and commercialization rights to bezafibrate in the U.S. As a result of that transaction, our non-GAAP adjusted operating expenses ended up coming in just over the upper end of the expense guidance range. We also closed the year with a strong cash balance as we continued to build on the PBC momentum as well as to execute our NASH launch preparations. Getting into more details. We recognized $53.3million and $179.8 million in total revenues for the fourth quarter and full year of 2018, up from $37.7 million and $131 million for the same periods in 2017. For the fourth quarter, Ocaliva net sales comprised of U.S. net sales or $41.1 million and ex-U.S. net sales of $11.8 million. This represents the growth of approximately 29% in the U.S. and a growth of 123% ex-U.S. as compared to Q4 2017. Our full year Ocaliva net sales were comprised of U.S. net sales of $140.8 million and ex-U.S. net sales or $37 million. This represents the growth of 22% in the U.S. and 176% ex-U.S. as compared to 2017. Gross to net deductions for the year were within our previously communicated 10% to 15% range. Our GAAP operating expenses for the quarter were $135.3 million and non-GAAP adjusted operating expenses were $122.7 million. For the full year, GAAP operating expenses were $465.3 million and non-GAAP adjusted operating expenses were $410.8 million. As a reminder, our non-GAAP adjusted operating expenses exclude stock-based compensation and depreciation. Our costs of sales for the quarter and full year 2018 were $1 million and $2.5 million, respectively. This was an increase of $0.2 million and $1.1 million over the prior year periods. Costs of sales primarily consist of packaging and labeling expenses. Our selling, general and administrative expenses for the fourth quarter and full year were $71 million and $255.5 million, respectively. This was a decrease of $13.4 million and $18.2 million over the prior year periods. The decrease was primarily driven by our efforts to streamline our SG&A expenses. Our research and development expenses for the fourth quarter and full year 2018 were $63.3 million and $207.3 million, respectively. This was an increase of $5.8 million and $15.8 million over the prior year periods. The increase was primarily driven by $9 million payment made in connection with the acquisition of the U.S. bezafibrate license. And moving on to our cash position. Given our strong financial performance in 2018, we ended the year with cash, cash equivalents and investable securities for $436.2 million. And now moving to our guidance. 2019 will be a critical year as we need to continue to build on the momentum on our B2C business, while deploying resources to support our NASH filing efforts in the U.S. and Europe, and executing our NASH launch preparation. Once again, we'll be taking a disciplined and focused approach with our resources, while investing approximately $100 million for our NASH launch efforts. We'll also continue to invest in our NASH clinical development programs as REGENERATE continues to enroll patients and moves into the outcomes phase of the trial and REVERSE continues to enroll patients. We expect worldwide Ocaliva sales in the range of $225 million to $240 million. This represents a net growth range of 27% to 35% for 2018 -- over 2018. We continue to expect gross to net in the range of 10% to 15% and towards the upper end of the range in Q1 2019. We expect non-GAAP adjusted operating expenses in the range of $450 million to $470 million, inclusive of the filing and launch preparation activities. We also expect interest expense of approximately $30 million related to our outstanding convertible notes, which includes the cash portion and amortization component. As a result, we believe our cash balance of $436.2 million as of December 31, 2018 puts us in a strong position to continue to deliver on our PBC business while executing our launch preparation activities for 2019. I’d like to take a moment to remind you of the expected softness in the first quarter of 2019 in the U.S. as insurance plans reset. We typically planned for an increase in Q1 gross to net, which will further be impacted by the manufacturers’ responsibility for coverage GAAP increase in 2019. Although we expect robust net sales growth in Q1 2019 versus Q1 2018, we expect a slight decline in net sales during the first quarter of 2019 as compared to the fourth quarter of 2018 before returning to growth for the balance of 2019. Finally, as a reminder, non-GAAP adjusted operating expenses is a non-GAAP financial measure under SEC regulations, please refer to this morning's press release for an explanation and reconciliation of this measure. So, with that, I'd like to turn it over to the operator for any questions. Operator?
Operator: Thank you. [Operator instructions] Our first question comes from Michael Yee with Jefferies. Your line is open.
Michael Yee: Hey, guys. Thanks. Good morning. Thanks for the update. Couple of things. One is, we've seen the topline for REGENERATE now, and I think various KOLs have come out and talked to the data about the positive data but need see to details. And you've come out on your last call talking about your underlying confidence in the overall risk benefit, marketing, you mentioned comments about them the last call. So, yes, there seems to be some market uncertainty about safety. Maybe, Mark, two things. One is, can you tell us about what gives you that underlying confidence? Have you done eDISH data on hepatic safety? What do we know about that? And any Hy's law cases? And secondly, there are some recent publications out there that we that talks to liver injury fatty liver. What do we know about how to interpret liver injury and things like NASH, what do we know about that and how does the FDA think about stuff like that? Maybe you could talk to those few things, I think that’d be helpful. I appreciate it.
Dr. Mark Pruzanski: Sure, Mike. Thanks. Yes. I mean, look, as we mentioned, we're really happy with the totality of data in hand and we really do believe that it supports the overall benefit risk of OCA, 25 milligrams going forward. With respect to your question on liver-related safety specifically, you mentioned the paper on assessing drug associated liver injury in NASH specifically that came out last month. It was co-authored by a group of NASH experts and representatives of FDA and does represent the latest thinking on how to assess any investigational NASH drug potential for liver injury in the NASH setting. And, I think highlights there what we've been saying and that is in the context of NASH or any active advanced liver disease in assessing cases of potential liver injury, there are a number of confounders to investigate including the concomitant meds known to be potential causes of liver injury that these patients are often on, the progression or complications of the underlying disease itself intercurrent illnesses like infections with these patients often experienced and other factors before you even get to the study medication itself. Now, that said, you asked about eDISH. As I mentioned in my prepared remarks, we've continued to run analyses generating a lot of outputs on the data. eDISH is one of them that we've just completed. And it remains a very effective tool at a population level of really assessing out potential for any drug to be a cause of liver injury in a clinical trial setting. Just as a reminder, what it does quite simply is plot peak total bilirubin and ALT liver enzymes, lab values for every patient participating in the trial over the duration of the study. And you look for telltale signs of clustering or potential liver injury. For REGENERATE, in the overall safety population, the resulting eDISH plot looks very reassuring. It looks very similar to the FLINT eDISH that we presented last year at EASL. And just to highlight a couple things that we observed. One is that, just as in FLINT, there's a disproportionate number of patients in both OCA arms and particularly OCA 25 milligrams who remain in the normal or near normal quadrant of the plot, and we believe that reflects the efficacy of the drug in improving liver enzymes overall. And with respect to Hy's law, there were exceedingly few patients to enter the Hy's law quadrant, specifically three on placebo, two OCA 10, and just one in the OCA 25-milligram group. So, this underscores the reassuring nature of the eDISH plot. Of course, it's just a one tool. It's important to note that none of the Hy’s law patients were recorded as having an SAE or liver related SAE. So, that again underscores the reassuring nature of the safety data we’ve gotten here.
Michael Yee: So, let me clarify that, Mark. You're saying that there were a disproportionate number on placebo actually and not on OCA. So, that is important and that's what you're saying?
Dr. Mark Pruzanski: Yes. And again, it highlights the complexity of assessing liver injury in a NASH trial or any active liver disease because of the confounding factors that I mentioned. And that said, whether it's a liver related or other organ system of interest kind of SAE, all of these require specific adjudication investigation. And we continue to do work on cases of interest.
Operator: Thank you. Our next question comes from Brian Abrahams with RBC Capital Markets. Your line is open.
Brian Abrahams: Hi. Thanks for taking my questions. A commercial one and a critical one. On the commercial side, on your Ocaliva guidance for this year. Can you give us any general sense of approximately how we should be thinking about continued U.S. growth versus the increasing international contribution? And then, maybe on the -- you talked about the safety side. Maybe on the tolerability side, coming out of REGENERATE on pruritus. Can you give us any more details on the time course there? Should we be thinking about this as just more of a transient type of event? Clarify what the breakdown of mild versus moderate looks like? And then, just based on your experience, managing the pruritus, both in the regenerate study and in the commercial PBC setting, curious as to your senses in a real world what patient persistence might look like relative to the clinical trial setting with respect to this tolerability issue? Thanks.
Dr. Mark Pruzanski: Hey, Brian, I’ll ask Sandip to take the first question. I’ll take the second.
Sandip Kapadia: Yes, thanks for the question. I think, look, in terms of phasing and seasonality, I kind of indicated that at least in the first quarter of the year, we generally see a softness, which is broad-based industry trend generally from a higher insurance plans reset and we just see a softness usually in the first quarter. So, the U.S. tends to be a little bit softer in the first quarter. Of course, as you know, we have our IMS data out there. So, you can certainly follow along on the launch, I think. But, we see that as a very slight impact on the first quarter. But then, of course, we expect to return to growth based on our guidance that we’ve certainly provided. I think, ex-U.S., the way to also think about it, at this point, we're launched in all the key markets in Europe. And so, we see basically a slow and steady continuation of the growth that we're seeing in Europe as well. So, again, some softness in the first quarter but then I think good growth for the balance of the year and our guidance I believe reflects that as well. And then, maybe Jerry, you want to take the commercial?
Dr. Mark Pruzanski: Yes. So, with respect to your second question, Brian, on pruritus, look, I mean, this is obviously an expected side effect, dose dependent side effect of our drug. What’s clear in the field of FXR is that this appears very much to be a class effect and on target FXR associated effect. And that said, a couple of comments. One is that it's important to remember going into this study that everyone involved, patients, investigators, study coordinators were highly sensitized to pruritus, were looking for pruritus. You only need to look at the placebo rate of incidents close to one in five patients on placebo reporting it, which was over three times, three-fold greater rate than was observed in the FLINT study to see the effect of this. And second, again, we have very-extensive experience starting at the PVC side, also will learn a lot from the REGENERATE study in how to manage pruritus. The vast majority of cases are mild or moderate. You asked about time course. We don't have that yet. Obviously we’re digging into that. But, if we observe the same kind of pattern as we did on the PBC side, then most patients susceptible to it, will experience it near to the initiation of their therapy, which is good news in the real world in terms of being able to deal with it as it comes up, and there tried and true ways of course to manage it. And then, what we've also observed in PBC side is the patients do experience that it tends to be an adaptive effect; it tends to ameliorate over time. Of course, we have to take a look at that in the context of the REGENERATE study in the NASH population.
Jerry Durso: Yes. I guess, finally, when we think about the pull-through to the NASH launch, obviously as you mentioned, our experience in PBC, I think has allowed us to learn a lot how to manage in the real world. I think the combination of our ability to educate the physicians consistent actually with information, both in the guidelines and in our label helps the management of pruritus, I think how we're providing patient support, particularly in that the key early part of therapy, which is Mark mentioned is the period where hopefully, the local physicians and patients can understand how to deal with unexpected effect in some patients, clearly based on the mechanism. So, I think as we're approaching launch, we're bringing the learnings from PBC through. I think as we look at the data, we'll also be able to really target the support that we're going to be able to provide effectively. And we feel pretty good about our ability to have the right kind of plan in place to achieve exactly what we'll try to do, which is keep patients on the therapy that need to stay on.
Brian Abrahams: Thanks again.
Operator: Thank you. Our next question comes from Alethia Young with Cantor Fitzgerald. Your line is open.
Alethia Young: Hey guys, thanks for taking my question, and helpful color on the Hy’s law stuff. I just wanted to ask two kind of questions, one is kind of clarifying. But, in the case of safety analyses that you're doing heading into the dataset at EASL, would you characterize eDISH analysis as kind of the core piece and gives you significant confidence, the hepatic risk signal is low? And then, a second question is just, I was just trying to figure out when thinking about like building a sales force here. You have a lot of relationships from PBC. So, is the investment in NASH that we should think about, is it more like kind of awareness and marketing than it is adding significant sales or is it a mix of both things?
Dr. Mark Pruzanski: Yes. I think with respect to your first question, look the eDISH is very important tool and is standard way of evaluating potential for liver injury. So, we're obviously very reassured by the result of the eDISH analysis in REGENERATE. That said, it's the start, I mentioned a few minutes ago that every reported SAE, liver related SAE is something that needs to be independently adjudicated. So, we'll have a more fulsome picture here that we’ll look forward to reporting out on over time. But, I do want to reiterate and stress again how reassuring the data that we have in hand looks.
Jerry Durso: Yes, Alethia, thanks for the question. I'll take the second half of that. I think, when we think about the preparation for launch and the investment, it is clear and evident that there is education that needs to happen in the market on the medical side, on the payer side. So, that will be a core part of the effort. When thinking about the sales force, obviously ensuring an effective sales team is going to be the key ingredient in the launch, like it is in every launch. It is a larger group of target physicians than we're calling on for PBC, although you should think about the PBC audience as being really at the core of that. So, there is a good overlap, but it is a broader reach as we expand. We expect to stay primarily with a hepatologists and the GI specialists but it is a broader group of community based GI specialists. So, there is an incremental build that will be prepared to move towards and ramp that up at the right time to be prepared for a successful launch.
Operator: Thank you. Our next question comes from Ritu Baral with Cowen. Your line is open.
Ritu Baral: Good morning, guys thanks for taking the questions. The first question revolves around something that you said on the market research side, pertaining to biopsy. I think, you guys mentioned that most patients made it to hepatologists, and GI specialists without a real biopsy and their diagnosis. Is that something that you guys plan to address as part of your prelaunch efforts? Are you -- is it feasible to make a sort of campaign to get a formal biopsy before launch in an effort to expedite the launch? And then, I have a follow-up.
Jerry Durso: Yes. Maybe I'll take that one. Thanks for the question. As we have found out through the market research that the patients who are currently diagnosed, particularly the ones that have more advanced disease have found their way into the system without a biopsy. There is a variety of different means that are being utilized and different combinations frankly, not exactly consistent as we look at the U.S. market, imaging is used, different blood panels obviously. There is a good I think alignment, relative alignment across the physician side that they're not looking to utilize biopsy. I think everybody's aware of the challenges that broad-based biopsy creation in the system. So, I think that we’ll have a lot more insight and information coming out of REGENERATE, frankly, in terms of some of the non-invasive diagnostic measures and will clearly look at that in a lot of detail as we move forward. But, we don't anticipate that the market will be pushing to move towards biopsy. And clearly we're -- part of our goal is going to be make it to help the system make it as easy as possible to diagnose the right patients that need therapy with the existing methods that are out there.
Ritu Baral: In your discussion -- go ahead, sorry.
Dr. Mark Pruzanski: Sorry. No, I was just going to add that -- and you I’ve talked about this before that it just again highlights how critically important the fibrosis benefit really is. Because the non-invasive means of diagnosing and staging these patients that are approved and used today at point of care, look specifically at fibrosis, right? The only exception would be, in the research setting, would be quantification of fat, typically with MR and PDFF but that alone does not tell you much about how much disease activity, whether you actually have full blown NASH or not. So, both from a clinical and commercial standpoint, we think that the value prop here with an anti-fibrotic benefit is crucial for the success of this drug. And of course, the non-invasive means of assessing staging fibrosis are just getting better and better as we go.
Ritu Baral: So, your -- the strategy that you do -- outlined the potential for not needing a biopsy diagnosis, is that based on some of your payer conversations that you've had so far?
Jerry Durso: Yes. I mean -- so, we're obviously having the normal discussions with payers and going through the right kind of disease state discussions with them. I think, one of the -- couple of points, which are extremely relevant from the payer side, they're interested in the advanced patients as a priority, the patients that they are looking to make sure they're able to address and try to avoid the long-term complications and all of the implications that creates from the payer side. Again, we'll have a lot more in-depth discussion now with the data in hand. But, payers also recognize the challenges that are inherent in biopsy. And I think they're looking at that and understanding that in the context of trying to make something feasible that works with the kind of variability that's out there in the market currently.
Ritu Baral: Got it. And my follow-up is for Sandip. Sandip, when you laid out OpEx guidance, it doesn't imply a whole lot of growth. But, you did say that there's going to be about $100 million in launch cost; that implies pairing of other programs or pairing around the edges of other expenses. What are you pulling back on in order to meet that guidance?
Sandip Kapadia: No. I think, look, we've -- as I mentioned previously, we tend to take a very disciplined and focused approach in terms of resource allocation. And, as we did last year, I mean, we very much focused on the key organizational priorities? And for us, it’s clearly going to be the launch preparation for this year, will be clearly an organizational priority. Of course, continuation of our NASH program with REGENERATE and REVERSE again continue to be major priority for funding. And then, of course, continue to support the PBC business. We're also at the third year of launch in PBC. So, we've got good momentum there. And, we certainly look at always opportunities to either reallocate resources or to ensure that we're really very much focused on what's really important to the organization and what are the key value drivers overall.
Ritu Baral: Just for modeling purposes, is it safe to assume that SG&A is going up year-over-year and that the efficiencies may come from R&D?
Sandip Kapadia: I think -- no, I think, look, R&D will continue, given the fact that we're continuing to invest in REGENREATE and REVERSE. I mean, they continue to enroll and study is continuing to grow. So, our R&D expenses would generally be expected to continue at that current year level. And I think, the key increase you'll see is probably on SG&A.
Ritu Baral: Got it. Thanks for taking all the questions.
Operator: Thank you. Our next question comes from Steven Seedhouse with Raymond James. Your line is open.
Steven Seedhouse: Hi. Good morning. Thanks for the questions. Just one on safety and then I have follow-up about outcomes. So, just first, digging in on the hepatic serious AEs, you mentioned one confounder, big concomitant meds. I believe statins actually have about 1% serious hepatic AE rate themselves. So, I'm wondering if an increased statin use here in high dose arm, which it seems like there may have been, given the LDL data, could explain the numerical imbalance in the high dose arms you reported. So, I guess, the questions are -- was statin use higher in the high dose OCA arm and did hepatic SAEs, in fact, the current patients that were on statins to just last -- you mentioned that the SAEs did not include anyone in the Hy’s law. What types of SAEs were observed, and is it consistent with the statin SAE profile?
Dr. Mark Pruzanski: Yes. Look, it's a good question. And I think, statins are just one drug that patients with NASH are frequently on. I would say, the answer to your question is, as I mentioned a few minutes ago, we're adjudicating these cases now. We just recorded that on top line. So, we simply don't yet know what the profile of these SAEs really look like. What I can tell you, though, is that it is true that in rare instances, patients started on -- starting on statins do experience typically transient spikes up in liver enzymes. It's possible that liver injury could result, but I think it's exceedingly rare, and in fact so rare that both AASLD and EASL on their guidelines strongly recommend that patients with NASH take statins who are dyslipidemic because of the safety and benefits in the profile of statins. I’ll also remind you and we’ll obviously take a look at this in REGENERATE but I'll remind you of couple of data points. One is in FLINT, when we took a look at patients who either were already on the statin at baseline or who had a statin added over the course of the study, those patients actually ended up with even lower liver enzymes than patients who were statin naïve in FLINT. And in that study, at least, there was no evidence of any safety issue. And then, of course CONTROL, the study that we read out on last year where we prospectively looked at the effect of adding atorvastatin to OCA and showed that low dose of atorvastatin in vast already of cases controls LDL, we saw no evidence of any kind of safety issue there. So, I would be surprised to see any effect, but of course, it's possible and we just don't know yet. I forgot the second part of your question.
Steven Seedhouse: You answered it. It was just about the types of SAEs you observed and if there were consistent with the statins. It sounds like...
Dr. Mark Pruzanski: Yes. And again, important to remember that a lot of these patients, I mean these patients have a lot of comorbidities, they're often on, call it, pharmacy and taking medications that are well known potential causes of liver injury. So, it's important again to understand the complexity here and to look at every single case. And that said, there is an exceedingly small number of cases here, less than -- significantly less than 1% incidents in each arm of the study. So, we’ve got very few cases to look at, which is ongoing work as a standard practice.
Steven Seedhouse: Okay. Thanks. And on outcomes, I'm curious if you have the ability to or will in fact amend the design of the long-term outcomes portion of REGENERATE, whether that's total enrollment or a number of events, just now that you actually have the 18-month histology data in hand and can presumably update your assumptions about the effect size of OCA and how that might translate to outcomes benefit? And then, maybe to slide one last one. You mentioned the planned publication of REGENERATE data, will that coincide with the EASL presentation? Thank you.
Dr. Mark Pruzanski: Yes. So, good question with respect to outcomes. Obviously, we took a look at progression to cirrhosis in very small numbers but encouraging from a directional standpoint, but too smaller number to say anything about. No doubt, we’ll be taking a look along with FDA at the results of the data, what the progression rate suggests and whether to tweak our assumptions. But, I'm happy to say that the study continues to enroll very well. We’ve randomized well over 2000 patients, the anecdotal feedback we've heard from investigators around the world of participating in the study, as we alluded to in our prepared remarks, has been nothing less than hardly enthusiastic about these results. And, we will continue to enroll the study to include as many patients as we think we need for the outcomes portion. Publication, we're moving expeditiously to publish in a major journal as soon as possible. I can't represent that this will be simultaneous with EASL, but it will be as soon as we can get it out there.
Operator: Thank you. Our next question comes from Salveen Richter with Goldman Sachs. Your line is open.
Ross Weinreb: Thanks for taking the question. This is Ross on for Salveen. Just in regards to the payer front and given the ongoing dynamics in the metabolic space, can you comment on where you think you may end up for a price for OCA and NASH? And just how this would impact our OCA and PBC? And then, secondly, can you just comment on where you stand on the pipeline with your second generation FXR, as well as your PSC and biliary atresia programs? Thanks.
Jerry Durso: Yes. Hi, this is Jerry. Maybe I'll take the first one and then Mark can answer the question on the pipeline. So, I mean, I guess, first and foremost, clearly coming off of top-line data, we're confident that the REGENERATE outcome gives us a strong foundation for our value proposition. It is an area of high unmet need, particularly when you look at the patients with advancing fibrosis, which will be the focus of our launch in NASH. And obviously, as I mentioned before the drug's ability to impact fibrosis is going to be an important surrogate endpoint for the payers; they are looking to address the long-term challenges. We've been for a considerable period of time and moving forward working on the pricing and value argumentation. And with data in hand, now we have an opportunity to do some further work, refine the pricing strategy and continue to engage with the key stakeholders. So, it's little premature to comment any further on where we're going to go on pricing, except to say we're focused on the fibrosis benefit, the advanced patients where we believe our value proposition is going to be the strongest and as critical that the right access strategy for NASH is going to be an important part of the launch. So, we'll continue our work. And I'm sure, we'll update you in the future as we progress more closely to launch.
Dr. Mark Pruzanski: Yes. With respect to your pipeline question, just I’ll start with bezafibrate, which I mentioned in my prepared remarks. Just to remind you, this is a pan-PPAR agonist that we in-licensed. Our next priority is to initiate a Phase 2 soon, a combination with Ocaliva. And we said this at JPMorgan. We're very happy to bring this asset in, because based on all the data that have been published on this compound, we believe that it looks as good if not better than any other people are in the class. Certainly, that's two in the PBC setting. And we'll be looking at other liver indications with it. So that's great news. And we disclosed today the upfront licensing fee for that compound, which is Phase 2 ready. With respect to our other bile acid analogs specifically 767 and 787, we're continuing to do a lot of work on potential indications for 767. And we'll be providing an update later in the year on that. And 787 is still preclinical but we're moving that along to the clinic. We're positioning that as a potential follow-on compound to OCA. And what's really exciting about it is that it is a highly selective FXR agonist with a better looking -- pre-clinically a better looking anti-fibrotic efficacy profile as compared to OCA. It's differentiated from OCA with a very long patent life. And then, finally, we'll be looking to building the pipeline further. Based on our success in NASH, we'll be looking at potential combo plays. Going forward, we think we've got a lot of optionality on that front. So, stay tuned for more news over the course of the year.
Operator: Thank you. Our next question comes from Brian Skorney with Baird. Your line is open.
Trevor Brown: Hi. This is Trevor on for Brian. I was wondering if you could review the protocol definition for the final analysis endpoint in REGENERATE and the definition of liver-related serious adverse events, and is there any overlap between those definitions? Thanks.
Dr. Mark Pruzanski: So, the composite primary outcomes endpoint in REGENERATE includes progression to cirrhosis, meld score north of 15, decompensation events like bleeding varices and liver transplant and all-cause mortality. I think that -- I'm saying that from memory. I think that captures the composite endpoint. Of course, given that this is a precirrhotic population at baseline, we expect that most of the events that we’ll record will be progressing to cirrhosis that which will be biopsy proven. As a reminder, patients continue on study. The patients who were first enrolled and now passed that three-year mark on study, and we have another scheduled biopsy at four years. So, with respect to your second question, SAEs, they can vary in nature. And remember, these are investigator reported preferred terms, right? So, they can, -- there's really a lot of variety. And really, they don't have much to do with the events that we're talking about to define the outcomes endpoint, except they can overlap with respect to a preferred term that an investigator chooses to use.
Operator: Our next question comes from Navin Jacob with UBS. Your line is open.
Unidentified Analyst: Hi, guys, this is Martin [ph] on for Navin. Thinking about the signal we saw in Gilead F4 study and looking forward to REVERSE, can you talk about if fibrosis improvement is more difficult to show in the F4 patient population? Then I have a follow-up. Thanks.
Dr. Mark Pruzanski: Yes. So, look, it would stand to reason that it's more difficult to REVERSE cirrhosis, but it has been shown to be possible in the context of liver disease and that includes NASH, not -- with respect to patients who have geriatric surgery. The -- and in the hep C setting of patients who've been sort -- hep C cirrhotics, who’ve been cured of hep C. In REVERSE, we've been very careful with patient selection, making sure to enroll patients with earlier stage compensated cirrhosis who really have a chance of reversing their cirrhosis, reversing the fibrosis in liver and going from F4 to F3. Based on the results that we just reported in REGENERATE where we unequivocally shown the anti-fibrotic benefit of our drug in patients up to and including F3 bridging fibrosis, we're confident in the ability of the drug to do so in patients with compensated NASH cirrhosis.
Operator: Thank you. Our next question comes from Jay Olson with Oppenheimer. Your line is open.
Jay Olson: Thanks for taking the questions. You mentioned in the prepared remarks that payers are most interested in advanced fibrosis. So, would that be F3 and F4 patients, or do you expect reimbursement for F2 patients? And then, how important is it to get the REVERSE study results into the label for the commercialization of OCA and NASH? And then, I have a follow-up question?
Dr. Mark Pruzanski: Yes. I think -- so, the payers think about advanced fibrosis as a progressive situation. I think, it’s probably a little too early to clarify exactly where that line is between F2 and F3. But, clearly, they understand that as patients progress throughout the fibrosis range. They are accumulating risk. And again, their goal is to make sure they're doing what they can to avoid the long-term complications. Obviously, we're going to learn a lot more as the REGENERATE data comes out and we start to understand the effect. And the payers are clearly interested in digging into the data and making further assessment with our full data set in hand.
Jay Olson: Okay. And then, I guess, you mentioned some work you're doing -- planning to do and bezafibrate, a Phase 2 combination with Ocaliva for PBC. Could you comment on the complementary nature of that combination? Is that more oriented towards efficacy or is that a safety and tolerability advantage by reducing the pruritus and LDLC? And then, also, can you maybe comment on what is the greatest value driver for a combination of these bezafibrate and OCAs, is it in PBC or is it in NASH?
Dr. Mark Pruzanski: Yes. Thanks for the question. So, based on our preclinical work, there is complementarity there. And, I would say first and foremost, we'd be focused on improving the efficacy profile of the combination. By the way, a just reminder, our longer term goal here is to develop a fixed dose combination. And I think that there's clearly a good amount of intriguing evidence for the potential of specified rate, in PBC specifically. And I think, obviously, on the NASH side, as you asked, there's also a lot of interest in the PPAR class in general on the NASH side. So, that would be something that we would certainly be interested in exploring with the combination on top of OCA. But, it is premature for me to guess where that combo would be most effective. But, certainly, there's a mechanism-based rationale for testing, and also in other liver diseases.
Operator: Thank you. Our next question comes from Yasmeen Rahimi with Roth Capital Partners. Your line is open.
Yasmeen Rahimi: Good morning, team. Thank you for taking my questions, two questions. One on bezafibrate. So, could you tell us what is left to do in order to start the combination? Is the long-term talks completed, so you can run potentially a 52-week study, if not longer needed to be? And then, I have a commercial question.
Dr. Mark Pruzanski: Sure. So, as we reported out at JPMorgan, we unlicensed the U.S. rights to develop and commercialize the bezafibrate compound and we transferred the IND. There has been a lot of talks, work done and that gives us the platform to advance straight into a Phase 2 study. I can't comment right now about additional non-clinical work that we may need to complete. But, it's certainly not rate limiting for us to go forward in the PBC and other -- and potentially other indications.
Yasmeen Rahimi: Thank you. And then, my follow-up question in regards to commercial plans, what percentage of NASH patients are under the care of hepatologists, gastroenterologist versus primary care physicians? And I assume that probably NASH awareness is probably greater in the primary care centers, and how do you plan to tackle that?
Dr. Mark Pruzanski: Yes. I’m sorry. I heard the first part of your question but can you repeat the second?
Yasmeen Rahimi: Yes. The second part is just in regards to NASH awareness. I assume that NASH awareness is probably not as present in the primary care centers versus in hepatology and gastroenterology offices. So, do you plan also addressing that being the primary care centers bringing awareness to NASH and educating them?
Dr. Mark Pruzanski: Yes. I think -- okay, so, I'll try to take them both together. In terms of the patients that are currently diagnosed with NASH and advancing fibrosis similar to the patients that we studied in REGENERATE, the majority of those are under the care of heps and GIs obviously. There's a relatively narrow group of hepatologists and then there's a group of GI specialists that tend to be where the NASH patients are being treated currently. There is more awareness amongst the hepatology group. It’s emerging in gastroenterology, but clearly, we will have a lot of work to do in terms of educating that segment of the treaters as well. And that will be the focus -- those two groups will be the primary focus of our launch efforts on the education side and ultimately upon approval on the promotion side.
Yasmeen Rahimi: Thank you for taking my questions.
Operator: Thank you. Our last question is from Michael Morabito with Credit Suisse. Your line is open.
Michael Morabito: Hi, guys. Thanks for taking the questions. First, I just want to get a little bit more clarity on the different fibrosis stage with the initial launch of -- is there any plans to try to get the F1 high-risk patients in the label based on the data that you reported? And is there any chance that F4 patients could be targeted with this, since there will be no treatment available for those patients until at least the REVERSE trial reads out? And second, I just want to know is there any evidence that you've seen so far that there was any unblinding of patients in the trial by itself, unblinding through like noticing itchiness or anything like that?
Dr. Mark Pruzanski: Let me take the second one because there is a rumor going around that. No, there is no evidence of that in any clinical trial on clinical trial patients, obviously trying to get what they're on. But, we had no reports of that whatsoever. So, with respect to your first question, F1s and F4s. We thought it was very important to include this exploratory cohort of high risk F1s. The next most important analysis to the ITT primary endpoint analysis was the full population, which we reported out top-line last week. And certainly, we anticipate FDA is going to be very interested in taking a look at the data and the total population. And as we learn more and more about the natural progression of the disease, we learned that there are patients at different fibrosis stages who progress faster or more at risk or more at risk of developing hepatocellular or carcinoma for example, including on a precirrhotic basis. And so, while we can't second guess right now if the earlier stage patients will be included in the label or what the indication statement would look like, certainly, we know that FDA will be looking at the totality of data in the population and assessing unmet across the population, the efficacy of OCA. With respect to have F4s, obviously, the definitive study is REVERSE, which is ongoing and enrolling well, as I mentioned in our prepared comments. And in the meantime, we've also completed safety and PK/PD work in several different studies, which will be supportive of our filings. So, again, I can't speculate on whether that means FDA will give access in the initial approval to these patients. But, certainly, we have important data to submit in that segment of the population.
Michael Morabito: Thank you very much.
Operator: Thank you. This concludes today's conference. Thank you for your participation and have a wonderful day.